Presentation: 
Operator:  Greetings and welcome to the LiqTech International 2013 Third Quarter Financial and Operational Results Conference Call. At this time all the participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. (Operator Instructions). As a reminder this conference is being recorded. I will now turn the call over to Mr. Stephen Axelrod, Managing Member of Wolfe Axelrod Weinberger Associates. Thank you, Mr. Axelrod you may begin. 
Steve Axelrod:  Thank you Jena and thank you all of you who are listening to this call for joining us to discuss LiqTech's third quarter fiscal 2013 financial results. Before LiqTech management Aldo Peterson, Chairman and Finn Helmer, CEO begin their formal remarks, let me remind our listeners that following the discussion there will be an open Q&A session and that a replay of the conference call will be available from 3 o' Clock Eastern time today through November 28th of the same month. The replay information will be found on today's release.  And as usual the reading of the forward-looking statement is necessary and note that the conference call contains forward-looking statements.  Although the forward-looking statements in this conference call reflect the good faith judgment of management, forward-looking statements are inherently subject to known and unknown risks and uncertainties that may cause actual results to be materially different from those discussed in these forward-looking statements.  Listeners are urged to carefully review and consider the various disclosures made by LiqTech in its reports filed with the Securities and Exchange Commission including the risk factors that attempt to advise interested parties of the risks that may affect LiqTech’s business, financial condition, results of operation and cash flows. If one or more of these risks or uncertainties materialize or if the underlying assumptions prove incorrect, LiqTech‘s actual results may vary materially from those expected or projected.  Listeners are urged not to place undue reliance on these forward-looking statements which speaks only as of the date of this conference call. The company assumes no obligation to update any forward-looking statements in order to reflect any event or circumstance that may arise after the date of this call.  I would like to introduce Mr. Aldo Peterson, Chairman of LiqTech International who will discuss the current results and other matters of interest. Aldo. 
Aldo Petersen:  Thank you very much, Steve and very welcome good morning to you who are listening in from the U.S. and good afternoon to the Europeans who are listening in. Yes we have announced our third quarter and as is obvious we're continuing the same trend as we have had in the previous quarters. We have a substantial decrease in our DPF business but as will be discussed later we see light at the end of the tunnel in the DPF market but it's substantially down. The positive note on this quarter is that we have a 38% increase in our water business being that our membrane business have advanced 38% compared to the same period last year.  We are showing a loss of a little more than $900,000 but as is obvious most of the loss is related to non-cash issues. We stated that in the last conference call that LiqTech is at a breakeven level at around $17.5 million which means that we will have to increase our sales but we think that we have made a stride to do that. And with these remarks I would like to turn the conference over to Mr. Finn Helmer who in more details will go through the progress in the different business areas. Finn? 
Finn Helmer:  Thank you and good afternoon and good morning to everybody. First a little bit general on the company. We discussed last time that we're working on a lot of improvements in the production and they are slowly showing results and that means first of all we are preparing and progress in [ ] we're improving that, but we're also improving the quality of our products and we talked last time on the development of the 10 and 4 nanometer membranes which I have [] -- what can be done on -- and those developments are progressing, we're now talking to customers, big customers that are testing the first samples and based on that we are actually participating in a big European finance project where we have been granted 500,000 Euros for the project that are aiming at separating oil and water in such a way that the water is clean and the oils that are removed can be used for other things, one area is for instance olive oil where instead of wasting the part of the olive oil that is in the water still we can save it and at the same time we will have some clean water to dispose instead of polluted water. So, this is development that would run over the next year to year and half but in the mean time we expect to have at least the 10nm membrane finished and ready for production. We are also developing the disc membrane we have talked about earlier and disc membrane has actually created a bit of a stir in the market, we have customers knocking on our door to get them but we are not finished with the development but in a system that are using disc membranes you can actually achieve 30 to 80% reduction in the power consumption and compared to a normal traditional cross flow system and of course cost of ownership is important in this case here and in some areas we can actually concentrate the solids in water to up to 15%. This is something that you like in for instance waste water and typical industrial water where you like to get the solids out and you like to re-circulate the water itself and one new area that are very interesting and we’re just starting to work on is actually production of algae. A lot of fish ponds are now needing algae for the production of fish and so its vast, vast quantities of algae that are needed and the disc membrane is one very good bid on the solution to system to solve this kind of problems and here we are talking to some development projects that are occurring along in Norway and also similar farms that are going on in the Middle East. So, on the development I think we have made some quite good and strong steps forward over the last 3 months. And turning to somewhat the different market areas, I would start with diesel particulate filter as mentioned it looks like we can see little light at the end of the tunnel as [?] in the market especially in US some of our major customers are now increasing the amount of order and we also see an interest from other areas of the U.S., California is tightening up their part of using the particular field as we’ve also seen other areas in the U.S. starting to talk about introducing diesel particulate filters. Of course we are in the retrofit market and that market is still fairly large in the U.S. but it’s also growing market in Europe. Back in 2012, LiqTech had a lot of deliveries to London just before the Olympic games, we have seen little firming of the market in Europe but not very much but cities like Berlin and all cities in Germany they are setting in a requirements for off road machinery to have diesel particulate filters from the 1st of January. So, either thing are going to very fast or we’ll have to postpone it a bit and we are expecting to see some results of that over the next coming quarters. And we also qualifying our new development that is [indiscernible] filled on this qualifications on our ongoing the several major customers and this filter is very interesting because it can actually save 20% of the filter itself giving the same back pressure to the engine, back pressure means the energy the engine has took at use to actually push the exhaust through the filter. But if you run with the same back pressure as the older valuations of the filter you can actually save 20% of the filter that is actually very interesting because it takes about 7% of the system cost and it actually brings LiqTech into nice competitive spot compared to other people in the market. And one interesting thing is that we have in the quarter received our first order for China where we hadn’t? made the first delivery. In Beijing we have decided to introduce people particular feel us as a retrofit and they have actually also been looking at making tighter and tighter specs. They are not quite as strong as we’re looking at in Europe yet but they are on their way so they are using Euro 5 instead of Euro 6. But that has actually meant that LiqTech’s silicon carbide is becoming interesting for retrofit first in Beijing but it would spread to other cities. And I think it is now promising that we already have the first order for 100 filters, and we expect over the next two quarters to get further orders on this. And that would also of course lead to collaboration wth different companies in China building this. If we then move a little bit on to the membranes, Aldo mentioned that third quarter is [39%?] higher than second quarter and 38% higher compared to last year. Also, we have said in our statement that our booking is close to 100% higher than last year. And what we are trying to say with that is that the interest for the membranes is actually strengthening and we’ve also seen that customers are now coming to us and asking [indiscernible] ahead and especially on the big orders but we can see that that the interest is growing. And that also means that here in third quarter we have negotiated and finalized two strategic agreements with companies inside the oil industry, and the agreements are signed. The two agreements they concentrate, over one over six and the other over three major projects that are the aim of the cooperation. We have been talking about making major agreements like that. Unfortunately, we are not allowed to reveal the companies we’re working with but I can at least say that it is some serious projects that we are going forward with. At the same time, LiqTech has been selected and invited as the only membrane supplier prior to participate in the ISPT water [indiscernible] maybe I should just go into ISPT. It’s the Institute for Sustainable Process Technology in collaboration between industry, universities and knowledge institutes, which aims at speeding of innovation processes and make them more efficient than they are at present. Apart from developing knowledge, the Institute aims at the development, demonstration and applications of a breakthrough technology with a specific focus on process technology. Breakthrough results are valued on the impact on the total process technology envelope from raw material to end products. The final results should be a considerable improvement of the competitive position of the Dutch process industry. Other companies in this cluster are Gas D’France, it is Shell, it is the Dutch government oil company that for instance the system provider, Belgium Technology Institute, there is of course the Institute for Sustainable Process Technology and then LiqTech has been invited as the only membrane supplier. I think this demonstrates the confidence that the oil industry actually has to the product that we are making. And we have also been working on getting a number of smaller orders compared to the larger orders we are working on because the time frame the larger orders are working on is fairly slow so we will try to fit up our revenue with smaller customers, smaller orders and have been working on that over the past three months. The results is that for October we have the highest ever number of orders on membranes we have [?] they’re not big but it gives an indication of the and interest also on the smaller amount of the market. So it’s a market that we are addressing at the moment. Then we are working as [?]and we are assisting on three major power plants in Germany and one power plant in Denmark, and actually in third quarter the results for first two tests were so successful, so the third power plant included a test on their site even before the first test was finished. The results are very promising and we are working on developing a business plan for that. We are discussing two ways with our customers, one is that the ballast system as normally but the other way could be that together with one of the our partners actually go in and supply clean water and make it a bit less expensive for the end users and at the same time get us sustainable income from setting this kind of joint ventures. So it’s something that are being discussed with the customer. Then, we then move on to one of our big agreements we have had in movement for some time that is with FMC. FMC has in third quarter taken the first batch of membrane. They are working on the first production model; and in the months to come, we expect to see further orders when the first production units have been finished. But we also have a very interesting release here actually from [?] of oil production in Romania. About two years ago, we’re beginning an installation in Romania for a small production unit. It took a fairly long time to get it up running because the condition of the water that we were to clear was actually not in line with what we are originally expected when we built the system, so there has been a lot of work getting it to work properly. One of our German competitors has actually also tried on the water and given up. But nine months ago as the system came on line and started to work and it has now worked perfectly for nine months, which is really fantastic for us to have achieved that because it gives us a land-based reference. Now, we have been working on getting the data [?] so we can use them in our advertising, but at least we have full production unit that really have shown what the membranes can do in practice. And then jumping quickly to the flat sheet membranes as the last point, flat sheet membranes earlier were discussed the market for the big opportunities and they are of course still there, we are still working on them. They have a value of something like $45 million, so it’s really a vast amount of projects and but on the big projects the timeframe is a bit uncertain so we have actually moved into another market, also we’re looking at directly where we can replace polymeric? membranes, actually with a success, so all the coming year we will go into some of the polymeric membrane solutions and wastewater and drinking water opportunities and see if we can replace them with flat sheet membranes. And that is a market that will give some revenue actually fairly possible and the bigger projects on the other hand; the biggest projects of course carry the major part of the revenue. On the other hand, there is new market coming off really below that and that is some solutions where people have tried to find and always solving a problem where the flat sheet membrane can go in and make it better and cleaner and more cost effective solution. In this area, we are also working with several customers and we are looking into a way of expanding this so we can sort of spread the addressing of the market with the flat sheet. So looking all in all new facing that the appropriate in the Company, that we have seen all treatments have been very good. At the same time, I also see a lot of opportunities that can go in and carry us on -- it is of course sad that it is not going as fast as we all would like but as I see it, it is coming and it is looking positive for the next quarters to come. 
Aldo Peterson:  Finn, thank you very much, and I think I am very sort of confident by the fact of the progress that we have made, it is especially in the areas where we have had a major setback being in the DPF, it is very comforting to see that the California the carp is starting to generate business that we have received the first orders from our big customers in California, but even more promising is the opportunity in Beijing in China, as most of you know, to do business in China is a very long process and you have to be very close to your customers, Finn was in China three weeks ago and we have our Singapore office involved in the cooperation and with the indication that we see in the five year plan for Beijing we see a significant market opportunity, in the DPF market, in China as well so I hope that after five quarters of serious headache around DPF that we have come to see, that there will be significant business. The delivery of the first membrane structure for the first system is very comfortable with FMC, the indication of them having more systems to come very quickly makes it very comfortable for us that we are ahead of the time schedule that we initially activated with FMC which means that we believe that we will see a faster roll out than we initially expected back in March when we entered into this agreement. Also to live up to our expectations of two or three major agreements before the end of the year, as Finn has indicated we signed two very significant agreements with very, very large oil companies in the US. We are still working at two of the very significant orders that or agreements that we have been working on for a very, very long time. One of these is getting very close in evaporation technology that can also be used in fracking and in other oil exploration systems. So that is very comfortable and then we are continuing to make leeways in our ballast water strategy. So we're still very comfortable that we will get by the end of the year to have the number of very, very large partners that will be a significant platform for generating more business in 2014 and onwards. I would like to address some of the issues and some of them has happened in the fourth quarter. Most of you have been aware of, we have made a fairly successful warrant call that had improved our cash balance by more than $4 million which means that we now have a very strong cash balance for the growth of the company in the coming quarters but also very importantly it also has solved the request from the New York stock exchange regarding our uplisting and I'm very happy to tell you that we have been approved for the listing on New York stock exchange. We have filed all the necessary applications with the New York stock exchange, we are filing later today the final, necessary documentation with New York stock exchange which is the 10-Q which is the filing on the quarter that you're looking at. So we expect and that has been indicated from the New York stock exchange that within the next two weeks we have solved all the issues and we are sitting very-very anxious to get to New York and do the listing, to ring the bell on the exchange but also to spend a significant amount of time on going on the road, meeting all the investors that has been reluctant to invest in LiqTech because of our OTC listing so as soon as we have the appropriate dates the management team will come to New York to Boston, and other cities in the U.S. to talk to investors we are really anxious to see to that. If we look at the very interesting area that Finn was mentioning, the whole coal plant area as he described we have been working with three test systems, with very big German operator, we're now closing in on getting these tests done so that we can enter into actually business and that is something that is of huge interest for the company, because it seems like there is an opportunity that the German standards can be used as European standards and maybe even a standard for global concerns about bleeding out the waste water from coal plants. And the opportunity in especially the Chinese market on coal plants is significant; we have come to believe that there are more than 2,000 coal plants in the Chinese market. So that that will mean a great opportunity for LiqTech because we're already very, very well-placed in the market. With the effort that we have managed in the third quarter and in October we are now in a strong cash position, we will definitely not look to raise more capital into the company, it complies with the requirements from the New York stock exchange which mean that we will very soon be able to uplist to the New York stock exchange. We have made significant progress in the flat sheet membrane market. We have a significant amount of quotes out in the Middle East market-- and we're getting on a daily basis request on using the flat sheet membrane technologies for the replacement of the polymeric membrane. So we're comfortable in seeing into the future as Finn was right stating to change technologies and build new systems is a long progress and we’re making leeways but the fact that we – in October alone received more than 30 orders from customers brings us to the highest order inflow on ceramic membranes that we have had in the company opened until now. So that leads us to be optimistic for the future. Although we have to accept the fact that the third quarter was a disappointing quarter but we are comfortable that we will increase our revenue significantly over the coming orders from the big partners that we have from the many different companies who have now accepted to use silicon carbide membranes. So we will see vast improvements in the LiqTech business over the coming quarters. So with these remarks I would like to turn the conference over to questions. So please. 
Operator:  (Operator Instructions). Our first question today comes from the line of Gary Zwetchkenbaum from Plum Tree Consultants. Go ahead with your question please. 
Gary Zwetchkenbaum - Plum Tree Consultants:  I would like to congratulate you on the approval for the listing on New York Stock Exchange. And I can't relate to focus on the liquid membrane business; going forward this quarter in 2014 you stated in your release that liquid membrane sales grew to 49% of the total which was a 38% increase in the quarter. Could you give guidance on the increases in liquid membrane business to the fourth quarter 2014 and beyond? Could you focus, outline the areas as in oil and gas desalinization, ballast water, clean coal, China, and FMC as you have mentioned? 
Unidentified Company Representative:  Yes and if we look at the different business areas here we are very comfortable that we will see an increase in revenues in the fourth quarter and in coming quarters and if we look into the different business areas being ahead in our timeframe with our corporation with FMC and the work that our technicians are doing together with their R&D in [?] in Holland and for the use of our membranes in other applications than the fracking build. We are very comfortable that we will see a significant amount of business from FMC in 2014. So being ahead of that schedule it will be a significant amount of dollars that we will see from our FMC. We are also very, very confident that in our coal plant starting out in German and our sales team is very focused on what is happening in Germany and is talking these test results into other areas it’s one of the most interesting areas and as Finn was describing the two different business opportunities -- of either sales systems to the end users where we will have a 50% plus margin on membranes but more importantly get into the business partnering up with different system integrators on delivering clean water, establishing the renewable income model that will really make a great input for the LiqTech business model so that is what we are very committed on. When we are looking at the flat sheet membranes the opportunity that we have in Saudi Arabia and the Middle East is as you have heard huge and going through the test unit and the approvals of the Saudi government which we are certain will come within the next coming months that will bring a huge amount of revenue into LiqTech. Desalinization is a huge area for us as well we have a number of projects and when Finn was discussing the improvement on the membrane technology that is directly linked to our increase in business in desalinization it is still the ambition of LiqTech to be able to produce a good enough membrane so that on membrane technology alone you can do the desalinization today our desalinization business is being part of desalinization systems so it is something that will bring meaningful business into LiqTech. So when I see the 2014 outlook for LiqTech what I am at last able to be optimistic around is that we will a significant increase in the DPF business if we can get California to start working and add on what is happening in Beijing now I think we have a very good chance to expand our DPF business but if we are looking at our water business our membrane business we are very confident that we will see a very, very substantial increase in revenue in 2014. 
Gary Zwetchkenbaum - Palm Tree Consultants:  Can I just ask you a question you talked about this liquid membrane business is a 50% margin versus 25 in DPF so are the increases is it possible that this 50% margin can increase, can it go higher than 50% I think you mentioned there were possibilities? 
Finn Helmer:  Well it of course depends on the development of the market but it is mostly a system cost that are driving this market but by improving the yield and reducing the cost of our production it will of course give us a chance of that. This will ensure we are going to be getting to volume production because as you are probably aware before you have volume production it is difficult to get a constantly high yield because there goes time between each production and then the yield is fluctuating. So we got potential yes definitely. 
Gary Zwetchkenbaum - Plum Tree Consultants:  Thank you I look forward to seeing you in New York although. 
Operator:  Our next question comes from the line of John Gay, with the Quiet Investor. Go ahead with your question please. 
John Gay – the Quiet Investor:  Congratulations both of you on the average you’ve made in some of the different markets. I was curious on whether the flat sheet membrane is the key to a single process of seawater into drinking water or is there something else that needs to be done as well? 
Finn Helmer:  I think what you ask us is the flat sheet membrane is the only one you need to clean seawater and if that is the case the flat sheet membrane is sitting as pre-filter before the reverse osmosis filter. But that combination is actually from a system cost very efficient because using a silicon carbide membrane before the reverse osmosis membrane would makes the life time of the reverse osmosis membrane longer before we have to change it and also the flux through the membrane will be higher. So therefore some of our customers are actually preparing to change the pre-filtering to flat sheet membranes just in order to improve the management of the system and the run of the system. Because of course the systems are very complicated and they are very important when they’re running you can’t just stop producing water, so to get a better security they would change to flat sheet membranes, or [indiscernible] membranes in some of the cases where we also cleaned saltwater with those depending on the usage. 
John Gay – the Quiet Investors:  Can you actually go straight from seawater to drinking water with your products you’re not going through reverse osmosis or is that no possible? 
Finn Helmer :  At the moment it’s not possible but as Aldo mentioned it is our task and our dream and the development that I talk about was 4 nanometers is actually part of a project that are bringing us closer and closer to that point. We have to go from 4 nanometer type of membrane to a 1 nanometer membrane before we can actually do that. So if I should take a rough guess from the development speed we have and the steps that we are taking at the moment, I would guess that within two or three years we will be able to make the first samples that are capable of doing that if it is at all possible. But we believe it is and we believe we can get there. 
Operator:  Our next question comes from the line of Louis Margolis from Select Advisors. Go ahead with your question please. 
Louis Margolis - Select Advisors:  My question is one of those 30,000 foot questions. You mentioned a significant amount of money coming from FMC you mentioned a huge amount of money in flat sheet membranes coming out of the Middle East, significant business coming from DPF. Yours is a small company with modest resources, great technology, great product; does it make sense for you to explore what are the pros and cons of exploring a strategic partner with some sort of a global footprint? Yours is such a small company and you’re accessing such giant markets. I would assume some of your potential clients are saying can we really rely on this small company? So maybe a strategic partner with that global footprint would be a good idea. 
Aldo Petersen:  And yes, it’s a very good question and what LiqTech has been doing and you’re addressing the exact risk factors that are in a small company’s business model. But what LiqTech has been doing to offset the concern from our customers and we see proof of that concern is being lifted in the partnerships that we have been setting up with FMC. And the two partnerships that we have been entering into now has been done because of the fact that our production capacity in the two plants and we own ourselves in Minnesota and here in Copenhagen and the third plant that we have accessed to here in Denmark as well brings our production capacity up to handling approximately seven, eight times the volume that we have today. So we have established a production capacity that will allow us to produce up to a $100 million in revenue from membrane sales and that is one of the strongest issues that we have towards the very large corporations that we are now dealing with. So you’re absolutely right that is a concern with the idea of setting up a strategic partnership in the current situation. We are inspired by some of the input that we have seen from the market. We are describing ourselves currently to be what you could call a biotech company who have come up with this very-very interesting new technology and it is very important to not jump into partnerships on the ownership basis too early because the experience from the market has been that if you develop high quality technology you will end up being acquired by some of the big water companies. A company that we very familiar with is a company called Xenon, a Canadian company that was developed from zero revenue and ended up having $40 million approximately in membrane sales and $120 million in system sales, was in 2005 acquired by GE for $760 million. So it’s very important for the LiqTech business model that we improve our revenue substantially over the next three years and the goal of the Company is to get to $100 million in revenue over those three years and we think with the platform of partners that we have established - FMC, others, big energy companies in Germany, big-big companies China, the oil companies that we’re working within China, the Shell Corporation that we have, the other oil companies that we’re working with, allow us to aim for that revenue stream over the next three years and I think it’s very important that we stay independent in that process and do not have excess capacity. I know that we have announced that we have lost a fair amount of money in this quarter but with more than $5 million cash in hand in the Company and no debts, I think we are in absolute situation so that we will not require more cash. We have the production capacity and therefore will not be a situation where we will need to take in a partner. And for me as Chairman of LiqTech and the vision of LiqTech is that we eventually will be such an attractive company so that we will have several of the large water companies around the world looking into our business ensuring that I as an investor and you as an investor can get a very,very nice return on your investment. 
Louis Margolis :  I was not suggesting selling the Company. I was suggesting a partnership to help market the products. 
Aldo Petersen:  But that is very difficult issue because if we’re looking at the potential partners in that area, it is typically also the companies who are active in the membrane business. So an honest answer is that we currently would like to expand our strategic partnership from now the three big ones that we have into maybe a dozen of those partnerships and that will make sure that our business model has a lot of growth potential. 
Louis Margolis - Select Advisors:  Could you put some numbers around what it means significant amount of business from FMC in 2014 to 2015? Does that mean more significant . . . 
Aldo Petersen:  The significant business FMC would be to get to around $10 million in systems. The original business plan was to build the first test unit then build another five systems and then a total rollout. If we can get to about 20 systems in 2014 that would be very significant because that would bring us close to $10 million in revenue from that partnership alone and we’re talking similar numbers with some of the other business areas that we’re involved in, so the big partner that that we have just signed the MoU with this October is a business potential in the same line. Some of the oil companies that we already working with, companies like Total and Petrobras, has the same business opportunity for the 2014, 2015, so the whole strategy around signing up those large partners is that they will bring business in the volumes of $5 to $10 million on an annual basis and this is why we are pursuing that strategy and are comfortable that we are very progressed in 2013 although our numbers are significantly impacted by the decrease in DPF business, because if you compare the DPF business we have lost about $10 million in DPF business in 2013 compared to 2012. When we get that business back and that is why this development of seeing business starting coming back from California and business coming in from Beijing in China shows us that we are probably bottomed out in the DPF business and that we can see significant improvement in that business in the coming quarters. 
Louis Margolis - Select Advisors:  What quantity of business in dollars goes into working with one of these coal plants? You mentioned there are 2,000 coal plants in China, what type of revenue per coal plant, now I understand that could develop over 10 or 20 years but what kind of revenues per coal plant. 
Aldo Petersen:  What we've been working on in Germany on the three test systems is that the membrane business per system is between a $100,000 and $200,000 on each system. The specific customer that we have in Germany operates 38 different coal plants, so that alone indicates a business volume of around $5 million in membrane sales but more importantly if we can get into a water treatment agreement where we deliver a specific amount of cubic meters of water at a specific price then we will have a recurring revenue stream as well and that revenue stream could be in the 100’s of 1,000’s of dollars per year so what we're aiming for is to get our margins from selling the membrane into a system operator that we will partner with and then share the income from the recurring revenue on water treatment and if we can make that model work so that we could receive say a $100,000 per system on an annual basis then in a fully-deployed business in Germany alone we could be looking at close to $4 million in recurring revenue on a yearly basis. And it's all of those opportunities and as we have stated on several occasions we think that we have developed a membrane that is much better than anything on the market, all the tests that we have been involved in shows that, and that brings us to believe that we have an Intel business model, we are the membrane inside systems. We do not tend to become an expert in oil or an expert in waste water, ballast water, desalinization, we are an expert in delivering that chip that goes into the system which is why we compare our business model to the Intel model. But as is obvious when you develop a new and better product it takes a really long time for companies to qualify your product because we are working in areas where mistakes are very, very costly. So our customers is very, very diligent on using our technology and this is why it takes significant amount of time to get these contracts. But why we're also very proud that we are now getting these large contracts and co-operations with our partners. 
Operator:  There are no further questions at this time I’d like to turn the floor back over to management for closing comments please. 
Finn Helmer:  I would like to thank every one of you for your support in LiqTech and we look forward to improving our business and look forward to be in touch. As always if you need to have further information you're more than welcome to contact management so I bid you a very good day in US and a very good evening in Europe, so thank you very much.